Operator: Welcome and thank you for standing by. [Operator Instructions] This conference is being recorded. [Operator Instructions] I would now like to turn the call over to Melinda Keels, Investor Relations. Ma’am, you may begin. 
Melinda Keels: Good morning and thank you for attending our conference call. I’d like to remind everyone that certain statements made during the call, which are not historical facts, may constitute forward-looking statements. Additional information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in Viad’s annual and quarterly reports filed with the SEC.
 During today’s call, we’ll refer to Tables 1 and 2 in the press release. Our press release is available on our website at www.viad.com. Today you will hear from Paul Dykstra, Viad’s Chairman, President and CEO, and Ellen Ingersoll, Viad’s Chief Financial Officer. Additionally, Steve Moster, President of our Marketing & Events Group, and Michael Hannan, President of our Travel and Recreation Group, will be available for comments during the question-and-answer session at the end of the call.
 And now, I’ll turn it over to Ellen to discuss financial results. 
Ellen Ingersoll: Good morning, everyone. Thank you for being with us today. As I cover our first quarter results, you may want to refer to Tables 1 and 2 of our earnings press release.
 Our first quarter income before other items was $0.12 per share, better than our prior guidance, but down from $0.49 per share in the 2011 first quarter, primarily due to negative share rotation. By definition, income before other items excludes restructuring charges of $0.07 per share in the 2012 quarter and $0.01 per share in the 2011 quarter.
 The charges are primarily related to facility consolidations and the elimination of certain positions in the Marketing & Events Group. Viad’s revenues for the quarter were $268.8 million, as compared to $290.1 million in the 2011 quarter. Segment operating income was $5.5 million, as compared to $17.3 million in the 2011 quarter.
 Our Marketing & Events Group’s first quarter revenue was $262 million, as compared to $284.3 million in the 2011 quarter, and operating income was $11.1 million, as compared to $21.7 million in the 2011 quarter. The expected declines from the 2011 quarter reflects $47 million in negative share rotation revenue.
 U.S. segment revenue for the quarter was $206.9 million, with operating income of $7.2 million. The declines from the 2011 quarter were primarily related to negative share rotation revenue of $45 million, partially offset by base same-show revenue growth of 9.3% and increased exhibitor spending.
 International segment revenue was $57.8 million, up $3.8 million from 2011, and operating income was $3.9 million, up $72,000 from 2011. The revenue increase was primarily driven by increased demand and new show wins in Canada, partially offset by negative share rotation revenue of approximately $2 million. Unfavorable foreign exchange rate variances impacted revenues and operating income by approximately $1 million and $96,000, respectively, compared to 2011.
 Our Travel & Recreation Group met the high-end of our prior guidance for a seasonally slow first quarter. Revenue was $6.7 million, with an operating loss of $5.6 million, as compared to revenue of $5.8 million and a loss of $4.5 million in the 2011 quarter. The revenue increase was primarily due to organic growth at Brewster and the acquisition of the Banff International Hotel during March.
 The operating income decline versus the 2011 quarter reflects seasonal operating losses at the Denali properties and St. Mary Lodge & Resort, which were acquired later in 2011. Additionally, foreign exchange rate variances had an unfavorable impact on revenue of approximately $106,000 and favorable impact on operating income of approximately $43,000 as compared to the 2011 first quarter.
 Now I’ll cover some cash flow and balance sheet items before turning the call over to Paul. Free cash flow was an outflow of $5.6 million for the quarter, as compared to an inflow of $11.9 million in the 2011 first quarter, primarily reflecting lower net income and changes in working capital.
 Capital expenditures were $7.5 million for the 2012 quarter versus $7.7 million in the 2011 quarter. Depreciation and amortization expense was flat to the 2011 quarter at $7 million, and payments on our restructuring reserves were approximately $800,000 in the 2012 quarter versus $1.6 million in the 2011 quarter.
 Our balance sheet remains strong. At March 31, 2012, we had cash and cash equivalents totaling $71.6 million compared to $100.4 million at year end, reflecting $23.6 million used to acquire the Banff International Hotel. And our total debt at the end of the quarter was $2.9 million with a debt to capital ratio of 0.7%.
 Now I’ll turn the call over to Paul. 
Paul Dykstra: Thanks, Ellen, and good morning everyone and thank you for being with us. We had a strong start to the year thanks to a solid performance from both our operating groups. As Ellen mentioned, we were successful in driving better than expected revenue, which enabled us to post segment operating results at the high end of our prior guidance
 The Marketing & Events Group had a solid first quarter with strong U.S. base same-show revenue growth. Many shows increased exhibitor participation and we successfully captured additional exhibitor spending with solid execution and great customer service.
 On past calls we’ve talked about the strength of GES’ creative capabilities, and for the third year in a row, GES has been recognized by Ad Age magazine as one of the world’s most top 50 agency companies and as one of the largest U.S. event marketing agencies. The 2012 report, which will appear in the publication’s April 30 issue, adds credence to the quality and strength of our creative capabilities.
 Our compelling value proposition and focus on the customer continues to translate into new business wins. During the quarter, GES won Metso’s exhibit business for MINExpo International 2012. Metso is a global technology and service supplier to businesses in the industrial sector. We won the account due to our familiarity with the industry, the breadth and depth of our services and our compelling design, which includes 5 interactive kiosks, a supersized 8-foot replica iPad that will introduce a new app, a two-storey hospitality area and private conference rooms.
 In addition, GES is very proud to have been selected by Bruce Mau Design to fabricate and install new lobby environments for General Electric in support of its GE Works campaign. During the first quarter, GES completed permanent installations in 8 GE locations across the U.S. and 1 in Germany. We were selected based on our experience in fabricating top quality permanent installations, our global reach and the strength of our team. We anticipate extending this partnership to rollout the new lobby environments at additional GE locations in the future.
 GE also -- GES also produced new exhibits for IDEXX Laboratories, a leader in pet healthcare. IDEXX was looking for a new partner to create an entire attendee experience, which included designing and producing 3 new exhibits, as well as integrated marketing and measurement services. We won the program based on our compelling creative designs, and our ability to create and deliver a fully integrated program. The new program debuted during the first quarter with the best of show win, and GES will manage their program at other industry shows throughout the year.
 In February, GES produced a brand new show call MODEX for the material handling industry of America, which has been a GES client for more than 25 years. We have successfully serviced various events for material handling over the years, including ProMat. We are honored to have been selected as their partner for the launch of MODEX, which spanned 180,000 square feet, featured 586 exhibitors, and welcomed nearly 20,000 visitors from 96 countries. MODEX will take place in even years, while ProMat will continue to take place in odd years.
 Our branded entertainment operation continues to experience success. Harry Potter: The Exhibition, ended its run at the Powerhouse Museum in Australia earlier this month, garnering the exhibition’s highest average daily attendance of more than 2,600 visitors per day. The exhibition is on its way to Singapore’s ArtScience Museum at the Marina Bay Sands Resort, where it will open on June 2.
 The international segment of our Marketing & Events Group is also experiencing success. We are leveraging our leading market positions to win new business and expand our global market share. During the first quarter, GES Canada experienced improved fundamentals in show demand and same-show growth. In addition, the team won multiple Vancouver shows from competitors during the quarter. GES Canada opened its Vancouver facility during the first quarter of 2011, and is the only full-service national contractor in this growing market.
 The strength of our worldwide network and our ability to provide single source global support is resulting in continuing wins for Melville in Europe and in the Middle East. Melville was again selected as the contractor for several rotating shows previously produced in other geographies.
 The International Association of Amusement Parks and Attractions awarded us its 2012 European Attractions Show in Berlin, based on our success producing last year’s show in London. Melville was also selected as the contractor for WorldSkills UK, the skills show, based on our previous success producing WorldSkills London 2011 and WorldSkills Calgary in 2009.
 And United Business Media selected Melville as the contractor for World Routes 2012 in Abu Dhabi after we successfully produced the annual airline and airport networking event in Berlin in 2011. We are pleased to again work with these esteemed show organizers to produce these great events.
 Later this summer we will service a number of clients at the 2012 Olympic and Paralympics Games in London, providing a variety of contracting and design and build services across the city. We’ve been successful in winning the lion’s share of the contracting business for various Olympic venues, and we continue to pursue other opportunities related to the event.
 We signed more than $55 million in show contracts in the U.S. during the quarter, and we have approximately 60% of our remaining forecasted revenue under contract for 2012. Our show revenue backlog remained strong at about $1.1 billion under contract for 2012 and beyond.
 We expect our success in winning and retaining business, as well as continued industry improvements, to translate into solid revenue growth this year. In addition to top line expansion, we are keenly focused on driving more of that incremental revenue to the bottom line and reducing the amount of invested capital in our business to boost returns on invested capital at GES.
 One of our major current initiatives is aimed at both reducing operating costs, as well as invested capital, by improving the efficiency and performance of our U.S. service delivery network. Specifically, we are rationalizing our facility’s inventories and equipment in order to meet the demand patterns of our business in the most cost-effective manner, while maintaining or improving our high service levels.
 Over the past several months, we consolidated or downsized 10 facilities in 6 U.S. markets. Most recently, we restructured our retail line of business and fully integrated it into the rest of the U.S. operating network. By doing this, we eliminated significant facility and operating expenses, and are better able to leverage the strengths and resources of the broader network. Our efforts to improve the efficiency and performance of our U.S. service delivery network are ongoing.
 We’re also intensely focused on continuous improvement in labor management, which has long been a priority for our organization. As a service business, our single largest cost is labor. Fortunately, a large portion of our labor is variable and incurred only as we produce shows, so we can flex up and down based on the volume of business. Much of this variable labor is governed by collective bargaining agreements, and during the past few years we have been affected by contractual labor rates that we’re negotiating during much stronger economic times.
 Our recent contract renewals reflect increases that are in line with the realities of the current economy. In addition to more reasonable labor rate increases, we’re also reviewing our labor management practices and tools to help drive additional labor productivity gains.
 We had a good start and a solid -- a good quarter and a solid start to the year, and I want to thank Steve Moster and his GES team for a successful first quarter and for their relentless focus on delivering increased returns and increased value for our customers.
 Now I will cover the highlights for the Travel & Recreation Group. The Travel & Recreation Group made important progress against its refresh, build and buy strategic growth initiatives, all while posting solid organic growth during a seasonally slow period. During the quarter, we continued refreshing key assets, including upgrading guestrooms, public spaces and guest amenities at Grouse Mountain Lodge, and improving the efficiency of the service areas at St. Mary Lodge & Resort.
 From a build perspective, first, we received regulatory approvals to construct a new high margin attraction in Jasper National Park. The Glacier Discovery Walk will be located directly off the Icefields Parkway, adjacent to our existing Ice Explorer attraction. We expect construction of the Glacier Discovery Walk to begin the summer, with a grand opening in the 2013 season.
 Finally, from a buy perspective, we completed the acquisition of the Banff International Hotel, a 162-room property located in the heart of Banff, Alberta. The Banff International is a natural fit with our existing hospitality, attractions, travel planning and transportation assets, that builds upon the strong foundation we have established in Banff.
 The property features full-service accommodations, including a restaurant and recreation facilities, and is within walking distance of restaurants, museums and shopping. The acquisition increases our shares of the finite number of rooms available within Banff National Park, where federal regulations restrict any increase in room supply. It also enhances our ability to service tour operator and independent traveler needs, and gives us direct access to additional visitors to cross-sell our high-margin attractions.
 We’re excited to offer this new product to our valued customer base and look forward to serving our customer needs with an expanded portfolio of high-quality, experiential products and services. I want to thank Michael Hannan and the Travel & Recreation team for their passion and dedication to delivering a great guest experience and driving profitable growth.
 I’m very excited about our progress, and as I look ahead, I see tremendous opportunity. We are feeling some economic tailwinds and executing well. We expect 2012 full-year results to substantially improve over 2011, and we’ll see strong growth in profits from both the Marketing & Events Group and the Travel & Recreation Group.
 We expect the Marketing & Events Group to benefit from continued industry growth and the cost structure improvements we made during the past few years. Although first quarter results were below prior year due to show rotation, we expect significant positive show rotation in the third quarter and continued same-show growth to drive full year revenue growth. We remain focused on continuing to increase efficiencies and drive down cost to ensure our revenue gains translate into meaningful bottom line improvement.
 Our Travel & Recreation Group will benefit from a full year of ownership of the Denali properties and the Banff International Hotel acquisition. Additionally, the rooms that were closed for renovation at Many Glacier Hotel in 2011 will be back online for 2012. Glacier National Park has had an unusually mild winter, and this bodes well for an earlier opening of the Going-to-the-Sun Road than we had in 2011.
 The Travel & Recreation team remains focused on maximizing revenue per available room at our lodging properties, capturing higher revenues per passenger at our attractions, and pursuing its refresh, build and buy strategy to increase shareholder returns.
 With that, I’ll turn the call back over to Ellen to provide some more specific guidance for 2012 full year and for our second quarter. 
Ellen Ingersoll: Thanks, Paul. Our current guidance reflects our best estimates based on information available at this time. Marketing & Events Group full-year revenues are expected to grow at a single-digit rate compared to 2011, with mid-single-digit growth in U.S. same-show revenues. Show rotation is not expected to have a meaningful impact on full-year revenue.
 Marketing & Events Group segment operating income is expected to increase by $6 million to $8 million, driven primarily by continued improvements in the U.S. segment profitability. Travel & Rec Group’s full year revenue is expected to increase by approximately 20% from 2011. This is up from our prior guidance of 15%, primarily due to the acquisition of the Banff International Hotel.
 The revenue increase versus 2011 also reflects the acquisitions of the Denali Backcountry Lodge and Denali Cabins acquired in September 2011, and St. Mary Lodge & Resort acquired in June 2011, the availability of all rooms at Many Glacier Hotel following construction closures in 2011, and organic growth.
 Travel & Recreation Group operating margins are expected to be comparable to 2011 margins of 19.8%. Corporate activities expense is expected to be approximately $9.5 million. This is up from our prior guidance of $8 million, primarily due to costs related to the amendment and restatement of our shareholder rights plan, as well as higher legal costs related to employee benefits associated with previously divested operation.
 Our full-year cash flow from operations is expected to approximate $45 million. We expect full year capital expenditures of approximately $45 million, which includes an estimated $15 million for construction of the Glacier Discovery Walk attraction. And depreciation and amortization expense is expected to approximate $30 million.
 For the second quarter, we expect income before other items per share to be in the range of $0.08 to $0.19, as compared to $0.26 per share in the 2011 quarter. Revenue is expected to be in the range of $235 million to $250 million, as compared to $238.7 million in the 2011 quarter. We expect segment operating income to be in the range of $6 million to $9.5 million, as compared to $9.9 million in the 2011 quarter.
 Additionally, corporate activities expense is expected to be approximately $1.5 million greater than the 2011 quarter, primarily reflecting higher expenses as previously discussed in our full-year guidance. Additional details regarding our 2012 outlook can be found in the earnings press release.
 And with that, let’s open the call up for questions. 
Paul Dykstra: Maryann, can you open up to the lines, please. 
Operator: [Operator Instructions] Your first question comes from John Healy of Northcoast Research. 
John Healy: Paul, I wanted to ask a little bit about the Travel & Recreation business. With a couple of things you have coming into the numbers this year, with the rooms that came back online and the acquisition, what is the core business that you had last year? What’s the growth rate of that business for this year, if you can try to isolate that? 
Paul Dykstra: Yes, I’ll give you some estimates. I mean, we do have organic growth built in this year, so the properties there were online last year. Year-over-year, this year, I think we’re expecting mid-single-digits growth. When you add back in Many Glacier Hotel coming back online, it takes it into the upper single-digits organic growth for the year. 
John Healy: Okay. Great, and that’s very helpful. And then I wanted to ask about the commentary you made in the comments this morning about the incremental pickup in the corporate expense, I think $1.5 million or so. Is that something that would stay in the numbers for next year, or is this kind of like a one-time item? 
Paul Dykstra: One-time item, in both cases. 
John Healy: Okay. Perfect. And then I wanted to ask, as you talked about labor rates, I appreciate the color on that. Can you kind of talk to how long this process might take for you guys to recover some of the margins? And how meaningful do you think that could be as you start to anniversary those contracts and begin to get the current dynamics of the marketplace into those rates? 
Paul Dykstra: Sure. I’ll make a comment and then I’ll ask Steve to add some color too. Contracts that were signed in 2007 and 2008, so we had 3-year deals, in some cases a 4-year deal, that were rolling off in 2010 and 2011. Those that were signed in 2007 and 2008 were signed in clearly much better economic times and rate increases were probably not in line with what we saw in the economy in 2009 and 2010. I think the good news is, now with contracts that have come up for renegotiations, since the beginning of 2011, we’re seeing much more reasonable rate increases, often times no increase in year 1. And then very reasonable increases over the 3-year period.
 So that substantially is better than those contracts that were signed 3 or 4 years ago. Now, the trick is, again, in a -- still is what a fairly competitive environment from a pricing standpoint, but we do feel like we have price increases now that are more reflective -- are starting to come back a little bit as the market firms, which gives us an opportunity to have price increases greater than our labor rate increases. It’s going to be a little bit of a slow process, but we’re starting to see some improvement this year. And I expect that improvement will carry over into the next couple of years as well. Steve, is there anything you’d add to that? 
Steven Moster: No, I would just echo that the agreements that we’ve reached reflect the economic times now. And we also have a focus on improving the efficiency at which we manage the labor at show site, which has a direct impact as well. 
John Healy: Okay. Great. And then just one final question. You talked about the Discovery Walk. How should we think about the investment you guys are making into getting that attraction up and running? Is that primarily through the P&L this year? Or what sort of CapEx investment are you making and does that carry forward into next year? 
Paul Dykstra: The bulk of the CapEx for that investment will hit this year and will hit in the form of capital expenditures on our books. So it’s a construction project. It will be about $15 million incremental CapEx this year, John, and probably $1 million or $2 million next year to finish it up. So we’re hoping to have this thing open and online. I mean, it’s a tremendous win for us, because it’s not easy to get things approved inside a national park, and Michael and his team have worked very hard. Michael, would you add anything to that? 
Michael Hannan: No, I think you covered it well, Paul. We’re obviously quite excited about this and it’s one of our very high margin businesses, being the attraction to line. So getting something like this inside a national park on a long-term lease basis is really, we believe, something quite valuable, as has been shown in the businesses that we currently operate within the national park. And I don’t think an attraction of this magnitude has been approved in 40 or 50 years in the national parks 
Operator: [Operator Instructions] Our next question comes from Carter Newbold of Rutabaga Capital. 
Carter Newbold: Staying little bit on the same theme, I just wonder if you could speak broadly across the refresh, build and buy capital that you’re putting to work in the Travel & Rec business. How do you think about the risk profile of each of those activities? What kind of expected returns you’re demanding for $1 of capital to flow out?
 And I don’t want you to give away too much, but if you’re willing to talk about -- say anything more about the Glacier Discovery Walk. I mean, what -- you said very higher margins, but how should we think about returns on capital on something like that? 
Paul Dykstra: These are all high return on capital businesses and high margin businesses. So the hotels that we’re buying, we’re getting hard assets and we’re getting them in places where, like the Banff International within the national parks, and the Canadian federal government, regulates any building and is very, very restrictive. So there is very, very good quality of those assets. From a risk profile, the things that we’re buying are very much right in our wheelhouse and things that we already do and are fairly easy for us to bolt on.
 The Glacier Discovery Walk, I would say, just because of the nature of construction projects, it’s probably got a little higher risk profile. But we also believe very, very strongly that, given that it’s adjacent to our Icefield operation, we can leverage some existing infrastructure. And I don’t remember the number of cars that drive through the parkway there, but it’s tremendous. We think we can capture more visitors there and really drive significant incremental profits through the Glacier Discovery Walk, as well as through our Icefield operations. Michael, would you add anything to that? 
Michael Hannan: I think you covered it, Paul. I mean, I just reiterate that we have a very significant operation at the Columbia Icefield with our Ice Explorer Tour product that is used by -- there’s a million people that travel down that highway a year, and a lot of tour operators utilize our products. So the ability to bundle the package and kind of create some excitement with this product, we think, will be tremendously exciting. And I think the message we’re getting from the markets where we’re active around the world and people come and visit these destinations, they would like to see this thing up as quickly as possible. And some people were trying to put it into their brochures already and we had to let them know it’s not quite ready yet. So we’re very excited about this opportunity. 
Carter Newbold: I’m not sure I want to hear an answer to this question out loud, but did you face significant environmental opposition to the proposal? 
Michael Hannan: There were some organized efforts, yes. There actually was an online petition that gathered almost 200,000 signatures. Of course, the online petition didn’t represent the facts faithfully, and I think the governments in Canada are focused on economic growth and benefits and doing things in environmentally responsible way. So we went over and above and beyond the call of duty to ensure all of the environmental aspects of this project were looked at in detail, and we studied things like the goat population in the area and we did some mitigation work with Parks Canada. And I think our relationship with Parks Canada allowed us to get this approved, and the quality of the project. 
Carter Newbold: Okay. Ellen and Paul, just a question on -- and I’ve asked similar questions in the past. But just the way you think about the capital structure of the overall business, I could be wrong in this here, but I don’t think I’m wrong broadly speaking. There are very few public companies that are owners of primary travel and recreation assets that are unlevered. I think you guys are extraordinary in that regard.
 How do you think about what an ideal capital structure is, particular as you’re pouring more capital into that business? And what -- over what timeframe is that capital structure significantly different than what you’re carrying today, would you hope get there? 
Ellen Ingersoll: Yes, we definitely don’t have an ideal capital structure. Over the last probably 3 years, we’ve had a significant focus on the Travel & Rec business in particular. We have a very old acquisition pipeline. We are buying properties as we see the opportunities coming about. But our cash is now down to $70 million. We do have an agreement or credit agreement where he have a minimum cash balance of $50 million.
 So it won’t be long now with our robust pipeline that we probably will be dipping into our revolver, and then obviously after that we’ll be looking at other debt alternatives down the road. But we do see that happening sooner rather than later now, which is obviously different for our company. We haven’t had a significant amount of debt in years, so. 
Carter Newbold: Okay. And then again, repeating a prior question. But is share purchase on the table versus the other possible expenditures on capital as a source of value creation? 
Paul Dykstra: It’s always on the table, but it’s always been a lower priority for us after strategic acquisitions. I think when we look at where we are on our cash balances and based on what Ellen was just talking about, it’s probably unlikely in the near term. 
Carter Newbold: And should we infer from that, that you think the returns on the external acquisition activity that you’re doing are higher than buying back your own stock? 
Paul Dykstra: Yes. I think we’re really looking at driving growth. 
Operator: And at this time there are no other questions. 
Paul Dykstra: Okay. Well, I want to thank you all for being with us again today. First quarter got us off to a solid start for the year, and we’re focused on driving continued growth in revenues and profits in 2012. We will continue to deliver high quality customer service and capitalize on our market opportunities, while also increasing efficiencies and driving down costs. I’m very excited about the year and we look forward to updating you on our progress in July. Goodbye. 
Operator: This does conclude today’s conference call. You may disconnect your phones at this time.